Operator: Good day, ladies and gentlemen and welcome to the PGT First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. And as a reminder, this conference call is being recorded. Now, I will turn the conference over to your host Brad West, Chief Financial Officer. Please begin.
Brad West: Good morning, everyone and welcome to PGT’s quarterly investor conference call. I am Brad West, CFO and I am joined today by Rod Hershberger, our Chairman and CEO; and Jeff Jackson, President and COO. This morning, we are pleased to provide an update on our first quarter results as well as an outlook for our second quarter 2015. Hopefully, everyone reviewed our earnings release issued yesterday. Before we begin, let me remind everyone that today’s conference call may contain statements concerning the company’s future prospects, business strategies and market outlook. Such statements are considered to be forward-looking. These statements do not relate strictly to historical or current facts, rather they are based on our current expectations and are subject to risks and uncertainties. Actual results may vary materially from those contained in the forward-looking statements. Please refer to our press release, our most recent Form 10-K, and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on the Investor Relations section of our corporate website at www.pgtindustries.com and included in the press release are the unaudited, condensed, consolidated balance sheets and statements of operations prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our press release, which was included as an exhibit to our Form 8-K filed with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. We will provide an overview of our performance for the first quarter ended April 4, 2015. After our prepared remarks, we will have ample time to address any questions that you may have. With that, let me turn the call over to our President and Chief Operating Officer, Jeff Jackson. Jeff?
Jeff Jackson: Thanks, Brad and good morning, everyone. We are very pleased with our first quarter results which reflect continued market share gain, improved operating performance after a challenging fourth quarter and an exciting start to our 2015 year. Highlights include consolidated sales of $95.3 million, our highest quarterly sales level since the third quarter of 2006, led by increases in our impact-resistant products, operational improvements including a decrease in our cost of glass due to our increased capacity to manufacture our own and improvements in both labor and scrap, launches new product, our exceptionally designed vinyl WinGuard and our new EnergyVue product lines and an increase in our workforce to over 2,000 employees. We have been the leading impact-resistant window and door company in Florida for many years. So, it is no surprise that our impact-resistant products continue to lead the way in our quarter-over-quarter sales increase and represented 81% of our sales. Including sales of our recent acquisition, CGI which products are all impact-resistant, builds a $95.3 million increase, 51.9% over last year, led by impact-resistant products which grew 60% over the first quarter of last year. This growth includes 32% sales increase for our flagship brand WinGuard. Sales of non-impact products represented 19% of first quarter sales, growing 25% over last year. Also in the quarter, 59% of sales were from the repair and remodeling market, up 39% over the first quarter of last year, while sales into the new construction market represented 41%, growing 76%. We continue to deliver results, even though single family housing starts in Florida in the first quarter were approximately 13,300, only up 4% over last year’s first quarter. We believe Florida’s economy and population will continue to grow and will over time reach the historical average of approximately 110,000 annually. Additionally, based off our historical results and certain strategic initiatives, we believe we will continue to outperform the growth in housing market and continue to capture additional market share. From a margin standpoint, we benefitted during the quarter from improved operational inefficiencies and the impact of our new glass plant. These improvements demonstrate our commitment to strategic initiatives in both training our employees and capital projects that result in long-term margin enhancement. We continued our investment in the first quarter by bringing on our fourth automated glass insulating plant and are currently in the process of bringing on our third landing line scheduled for the back half of this year, both supporting the increased market demand for impact products and energy efficient products. During the first quarter, we also launched our new vinyl WinGuard and EnergyVue product line designed to capitalize on the energy codes in Florida and greatly improve not only the aesthetics in number of options available in vinyl and impact products but also the consideration options and performance levels relative to other products currently available on the market. Feedback has been very positive from our customer base. And we expect a six to nine-month period of transition from our existing vinyl lines. At the heart of our success is our dedicated hardworking employees. At the beginning of 2013, we had just over 1,000 employees. In the past two years, we have doubled our workforce. We’re continually investing in our employees through training, continuing education, skill development and other initiatives. In doing so, we give our employees everything they need to deliver on PGT’s value proposition of outstanding, high quality products with excellent customer service. Looking forward into 2015, we believe the improvements we realized in the first quarter will be sustained as we continue to invest in increasing our capacity to meet demand. Also organic sales growth of 8% in April over prior year has led to a promising start for our second quarter 2015. We’re well on our way to another great year for PGT. With that I’ll turn the call back over to Brad who will review the results of the first quarter in greater detail.
Brad West: Thank you, Jeff. As Jeff mentioned, we reported sales of $95.3 million, up 51.9 % over prior year with organic sales growing to $82.4 million, up 31.4%, representing our highest quarterly sales announced since the third quarter of 2006. Breaking down our sales drivers compared to 2014’s first quarter, we have WinGuard sales at $59.4 million versus $45.0 million, an increase of $14.4 million or 32.1%; vinyl non-impact sales of $10.5 million versus $7.9 million, up $2.6 million or 32.9%; aluminum non-impact sales of $8.0 million versus $6.8 million, up $1.2 million or 17.3%; PremierVue sales were $2.4 million versus $1.8 million, an increase of $600,000 or 33.8%; system sales of $2.1 million versus $1.2 million, an increase of 900,000 or 71.3%; and CGI sales were $12.9 million. Gross margin dollars increased $11.3 million or 57.0% over the first quarter of 2014. Our gross margin of 32.6% increased as a percent of sales by 1.1%, compared to the same period last year. As Jeff previously mentioned, we benefited from lower glass cost as a result of increased internal glass processing capacity. We also showed improvement in scrap and efficiencies. Our margin was also favorably impacted by the increased volume resulting in the higher contribution margin and the addition of CGI. Offsetting these beneficial factors were the negative impact of an increase in overhead to support demand and higher aluminum costs. To quantify these factors, our increase in gross margin as a percent of sales of 1.1% was driven by decreased glass costs to an increase in internal glass processing capacity, 90 basis points; improved scrap and labor efficiencies; 90 basis points; improved leverage from higher volume, 70 basis points; and the addition of CGI, 70 basis points. These positive factors were partially offset by an increase in overhead cost of 100 basis points and an increase in the cost of aluminum of 90 basis points. The remaining 20 basis-point decrease was due to other non-specific factors. Our new glass facility is specifically designed to increase our internal capacities for finished glass units. However, the actual impact will vary from quarter-to-quarter based on top line sales and our internal capacities which will increase with the installation of our laminating equipment early in the back half of this year. With regard to aluminum, our average delivered cost of aluminum was approximately $1.10 per pound during the quarter, all comprised of spot purchases as our aluminum hedges are all considered to be ineffective. This compares to an average delivered price of $0.96 per pound during the first quarter of 2014. This represents a 15% increase in average price per pound of aluminum since last year, which we estimate had a negative impact to material costs of approximately $746,000 in the quarter. To cover our aluminum needs in the near-term during the first four months of 2015, we entered into contracts for future purchases of aluminum with our two largest U.S. vendors of aluminum extrusion. As of today, these contracts run through December 2015 and are for total 7.9 million pounds aluminum at an average delivered price of $1.05 per pound. This average price per pound includes components for the LME and Midwest premium components but excludes conversion costs. As of today, including these future purchase contracts, we are covered for approximately 57% of our estimated need through the fourth quarter of 2015 at an average price of $1.08 per pound and the current delivered cash price of approximately $1.03 per pound. We leveraged revenue growth during the quarter to reduce selling, general and administrative expenses as a percent of sales to 18.5% compared to 21.3% in the first quarter of 2014. Our selling, general and administrative expenses were $17.7 million, an increase of $4.3 million from the first quarter 2014. Included in SG&A expenses for the quarter are CGI expenses of $2.8 million which includes $800,000 in non-cash amortization expense relating to CGI’s amortizable intangibles. With the acquisition of CGI, we acquired certain amortizable intangible assets. SG&A expense will continue to be higher during the rest of 2015 due to higher non-cash amortization expense related to the amortizable intangible assets. We estimate the annual total will be $3.5 million in 2015 or approximately $850,000 per quarter. Other SG&A highlights include an increase in employee related cost of $1.0 million, an increase in selling and distribution costs to $700,000 consistent with higher sales, and an increase of $200,000 of non-cash dock based compensation expense. These increases in SG&A were partially offset by decrease of $400,000 and intangible asset amortization due to pre-acquisition intangible assets becoming fully amortized in last year’s first quarter. Interest expense was $2.9 million compared to $900,000 in the first quarter of 2014. The increase from prior year relates to the higher outstanding debt level as a result of the refinancing in September 2014. Depreciation and amortization recorded in the first quarter was $2.4 million compared to $1.4 million last year. Going forward, as a result of the acquired intangibles and depreciation related to the new glass facility, depreciation and amortization expense is expected to be between $10 million and $11 million for the year. Our tax expense in the first quarter was $3.7 million and represents an effective income tax rate of 35.9%, this compared to $2.0 million and 37.0% in the first quarter of last year. Both effective tax rates are lower than our statutory rate of approximately 38.8% due mainly to the impact of the Section 199 domestic manufacturing deduction. Going forward, we expect to record tax expense at effective rate of between 36% and 37%. Also from a cash perspective, our year-end 2014 estimate of our tax affected federal operating loss carry forwards was approximately $6.1 million, mostly acquired in CGI acquisition. We had net income in the first quarter of $7.0 million or $0.14 per diluted share after adjusting for certain new product launch costs and insulated glass line start up costs versus $3.4 million or $0.07 per diluted share in the first quarter of 2014. Adjusted EBITDA was $16.2 million in the first quarter of 2015 compared to $7.6 million for the first quarter of 2014. And included in adjusted EBITDA in the first quarter of 2015 is $2.9 million of EBITDA from CGI. A reconciliation of net income and EBITDA which I have just discussed has been included in our earnings release for your reference. We ended the year with the cash balance of $48.7 million, which is up $6.2 million from the end of 2014. Our cash growth was achieved despite capital spending of $4.0 million, all funded by $10.2 million in cash from operations, this compares to $3.5 million in the first quarter of 2014, an increase in cash from operation of $6.7 million. We anticipate consolidated capital spending requirements in 2015 to range from $15 million to $18 million as additional glass equipment is required to service the increasing consolidated sales. With $48.7 million of cash on hand, our current net leverage is 2.3 times and we have a strong balance sheet with ability to make further acquisitions and fund future needs. For the second quarter of 2015, we anticipate quarter-over-quarter growth to continue, both organically and through our acquisition of CGI and estimate that consolidated sales will range between $99 million and $102 million. Given our current sales mix and improved operational performance and expected need to outsourced glass, we anticipate second quarter 2015 gross margin range between 32.0% to 33.0%. At this time, I will turn the call over to our CEO, Rod Hershberger for summary remarks.
Rod Hershberger: Thank you, Brad. We are off to a solid start in 2015. Our top line growth continues to significantly outpace our underlying markets. And this quarter makes nine consecutive quarters that our new construction sales growth has exceeded 30% with five of those quarters exceeding 50%. The acquisition of CGI continues to exceed our expectations and we look forward to additional synergies as we move toward 2016 including our glass capacity expansion which will allow us to bring our CGI glass need into our own glass operations beginning in the back half of 2015. Lastly, the PGT family continues to grow. We have reached 2,000 employees for the first time since 2007 at which time we had approximately 2,600 employees with a sales run rate about equal to where we are today. Looking ahead, our priorities include expanding our leadership position in our established markets. We have demonstrated that we are willing to make strategic investments to achieve this goal through acquisition, new product development and launch, and investing in our people and our infrastructure. For the rest of 2015, we expect to continue to outpace our underlying markets in terms of topline growth. We will make strategic decisions that keep us on course and ahead of our competitors. We will only make investments that meet or exceed our minimum requirements for growth and long-term profitability. I am thankful for the dedication and effort put forward by all our team members who have worked hard to help us realize our strategic initiatives. I am excited to be part of an enthusiastic leadership team whose commitment to unparalleled customer focus and quality are second to none. I’d like to take a minute to brag about our PGT team. In less than a year’s time, in fact in about nine months, we opened in approximately 100,000 square foot glass facility, we acquired our largest competitor in the South East Florida market and we executed the largest product launch in our 35-year history. I’m extremely proud of this very talented team. With that I’ll conclude. Brad, Jeff and I will be happy to answer your questions about our results. Kerion, if you can get the first question please.
Operator: [Operator Instructions]. Our first question is from Steve Dyer of Craig-Hallum.
Steve Dyer: So, it seems from what I can gather that you’re still adding headcount pretty aggressively that to keep up with demand. Do you anticipate -- from EBITDA margin perspective, do you anticipate any sort of further efficiency or inefficiencies I guess I should say or do you kind of feel like things are on the upswing there?
Jeff Jackson: I think we will continue to add headcount like you mentioned Steve. By the end of the year, I could see us being at approximately 2,200 folks, companywide including at CGI. As we add those individuals, we have kind of cost over that threshold where the impact is not as great as it was in the earlier years. So, I’m comfortable the margins currently as I’ve mentioned in the press release of 32% to 33% and increasing as we obviously leverage our fixed cost with more volume. I don’t see any big hurdles out there in terms of chunks of employees that we had to add like we did in the past. I think we’re past that.
Rod Hershberger: We’ve changed our orientation; we believe that’s being pretty successful. We’ve changed our shifts also. So, as we plug people in, we can bring them in on the proper shift and acclimate them a little bit easier, quicker and better than we have in the past. But we think that most of those inefficiencies are behind us.
Steve Dyer: With that said, could you help me kind of think about operating expense levels, either in absolute terms or as a percentage of revenue going forward?
Brad West: When you think of operating expense, especially the SG&A category, I think sequential is the best way to look at it. In our first quarter, we had as previously mentioned, customer event that was about $600,000 that affected our first quarter results. Looking forward into second quarter, for SG&A you should see, obviously that would drop out but then you would see a change and that’s relative to sales and you have to kind of estimate what would be that fix-variable ratio. But I think these and sequential analysis makes lot of sense and the percent that we saw in the first quarter is pretty close to what your -- we should see going further the rest of this year.
Operator: Our next question is from Robert Wetenhall of RBC Capital Markets. Your line is open.
Robert Wetenhall: I was hoping you guy could provide a little bit color on how you think the mix between new res construction and repair and remodel spending will look this year as you move through 2015.
Rod Hershberger: We finished the first quarter as we mentioned at repair and model at 59% and new construction at 41%. That’s in part the impact of CGI which actually ran in the quarter a little bit closer to 50/50 than legacy PGT did. Our expectation is that new construction sales will continue to go faster than our sales. We’ve seen that for the past eight quarters and I think that will continue. As Jeff mentioned, we are still quite a bit below the housing start normal range for our population. So, it’s hard to kind of guess where we think we’ll be at the end of the year. We did finish at 51 for new construction in the first quarter and we suspect that that will tick a little bit higher towards new construction as we go through the year.
Jeff Jackson: I’ll just add a little bit to that. Typically based off the population of Florida, lot of the folks go back up North to their homes at North during the hot summer months. So that’s really when a lot of R&R activity will kick in. So, I do expect a healthy R&R market in the second and even into the third quarter. And that market like as historically will fall off generally in the fourth quarter when people are back down and you have a holidays. So, the percentages I don’t see changing materially from the first quarter, but I do see a healthy R&R market in both the second and third quarter.
Robert Wetenhall: And I just had follow-up, I think you’re releasing a new vinyl window under WinGuard line and I was hoping you could share a little bit of color what you’re seeing, both the pricing dynamics in the market and how the reception has been for new products? Thanks and great quarter.
Jeff Jackson: Yes, we have a new platform for vinyl window; it’s both the re-launch of our WinGuard vinyl and what we’re calling our non-impact EnergyVue window. In terms of pricing, it’s relatively competitive with current market. While we’re the number brand, we offer the service to back that up. So, we’re going to be a little higher for the most part than our competition which is consistent. I think the biggest thing that this window will do to the market is capture share from our competitors and the various features we offer from painting to different hardware options. The overall quality of the window, the pressures we were able to reach with vinyl that hadn’t been reached before, it will actually allow it to penetrate into the aluminum market as well. So we’re very happy, I guess is the word I’ll use excited, our dealer base is excited and obviously with the energy codes coming out as pretty strong here in midyear change, we think this window just knocks it out of park.
Operator: Our next question is from Ken Zener of KeyBanc. Your line is open.
Ken Zener: It sounded like you’ve talked about a six-month to nine-month rollout in a whole vinyl initiative which you have undertaken for a variety of reasons and plus you’ve addressed the 500 to 700 basis points gap of vinyl to aluminum. Should we assume given 6 to 9 months that essentially by December, you would have closed that gap on vinyl which represents 30% of your business?
Brad West: No. Ken, that transition period is a sales cycle transition. The margin gap will take a little bit longer because there is going to be -- part of that improvement is in our ability to produce it with less labor cost and less labor hours and that actually we expect to take more like 12 to 18 months from now to fully achieve. So, while we’ll be on our way to closing that gap, I think it will still be still be 2016 before you can see that that gap is going.
Jeff Jackson: But even with that gap, you’ll definitely see that change Ken, over time, over the course of this year but even with that gap as it replaces our existing vinyl WinGuard which is designed to do -- the margins there are better as well. So, you’re going to get benefit both on the difference we’ve always had in part between aluminum and vinyl and we’re actually going to get improvement on what vinyl we did sell.
Ken Zener: The seasonal nature of your business requires you to outsource glass generally in 2Q, despite your overall increase in capacity. Could you quantify the -- I guess drag in 2Q that you associated with that outsourced glass, given you have 32% to 33% gross margin guidance? And I asked so we can have a better understanding of how ex that one factor, 2Q might move into 3Q, as well as quantify how much benefit you can get from CGI glass come in-house in the back half in general, two items? Thank you.
Brad West: Ken, with regard to the second quarter, the part of the reason why we give a range that we do is because a lot of that will depend upon the mix of products that we sell. When we sell more new construction, our requirements for outsourcing isn’t as high as that when we saw customers’ example. So, in the second, when you look at that range of glass that will have to be outsourced if there is a higher R&R market, we have to outsource more. And I think what we’ve mentioned in the past is that our benefit to pick up leverage in the second quarter from higher sales will likely be somewhat mitigated by the glass. And I can’t really be more specific than that, but that’s kind of the theory that one would use. Going into third quarter when the laminated line comes up and that’s when we pick up the rest of that 2% that we talked about in the past that we’ve been looking for year-over-year improvement, we’ve mentioned 100 bps in the first quarter for glass being in house; we wanted to average 2% for the entire year. That’s because we’re expecting the back half of the year once the laminating line kicks in to be higher than that 2% help us get to that point, we average 2% for the year.
Ken Zener: The back half is going to have the benefit from the glass that you’re talking about as well as less probably remodeling demand, so higher margin then the first half in generally would be a safe assumption?
Brad West: Yes. Definitely in our market the second and third quarters generally are strongest. But what helps us on margins in the third quarter is the laminating line coming in which gives us more opportunity and make the glass ourselves.
Rod Hershberger: That’s in the back part of the third quarter also, so the impact will really be felt more from the laminating line in the fourth quarter.
Operator: [Operator Instructions]. Our next question is from Jeremy Hamblin from Dougherty & Company. Your line is open.
Jeremy Hamblin: I had two points that I wanted to just ask about, one is the CGI business. I believe it looks like that business was up over 70% in the first quarter based on what you’d disclose previously. I want to see what was driving such an acceleration in that business; is it just a broader distribution network or anything particular to their core markets that is making it grow so fast?
Brad West: Actually I don’t know -- I’m not sure I get exactly 70%, I’m little bit closer to 50% to 60% Jeremy. But yeas -- for year-over-year. CGI sales has been growing at that high rate for several quarters. As you know they’re benefiting from being in a strong market in the Southeast Florida and are benefiting from obviously coming off a little bit of a low base, so they can grow a little bit higher percentages. Rod or Jeff, I don’t know if you want to add about CGI first quarter.
Jeff Jackson: I think we both can shed a little color on that. From our perspective, they more than met our expectations in terms of their book of growth and there profitability so far as a part of PGT. The integration has been exceptionally smooth which again in turn allows us to further concentrate our efforts on a future acquisition, since this went so well and actually exceeded our thoughts. Rod, do you have any?
Rod Hershberger: I think CGI’s markets to the trade, maybe a little bit more per PGT’s kind of consumer driven. So, I think with stronger new construction and more things participating in the commercial side coming out of the ground, they were able to benefit from some commercial projects that were coming out the ground early in the year. Typically commercial projects, they get planned but they don’t tend to really take off January, February and March and they saw a little bit more of that. So, they had an extremely good first quarter. So, I think that was a little bit benefit to them also.
Jeremy Hamblin: And then as we look at the second quarter, I might have missed this but was there a guidance range provided for CGI in terms of we’re looking at kind of $14 million or $15 million out of your total guidance for the second quarter from CGI contribution.
Brad West: We do not give a specific number Jeremy but we did mention that our organic growth in April for PGT was 8% for the quarter. And from that you can see that the CGI’s organic growth will like be higher but we did not give a specific range.
Jeremy Hamblin: And then just a follow-up on the glass plant expansion. I have in my notes that previously I think that you’ve been looking maybe to complete the lamination line by the end of June. It sounds like now it’s probably more in August to September timeframe. One, can you just clarify that that August September is what you’re expecting at this point? And then two, was there any potential delay in completing that lamination mine versus prior expectation?
Jeff Jackson: I think in terms of actually completing the line, install et cetera, it will be the end of July. In terms of its benefit, it’s going to be closer to the end of the third quarter and obviously all of the fourth quarter. And when I say that I see that people train, spot up on the line and production ready. What we’ve learned is to not over promise on that after the fourth quarter, third and fourth quarter of last year. So, it generally takes us about a good eight-week once that launch actually ready to run before we start seeing the efficiencies in the flow with labor and get the benefit. So that’s probably more in line hopefully with what you’re thinking. If I had to say -- we probably may be three weeks behind right now but there is nothing driving that other than we’re very busy overall as a company.
Jeremy Hamblin: And it sounds like the disruption that you’re expecting to the overall business is maybe a little bit less than when you were rolling out the new gas plant facility as a whole in Q3 and Q4 last year.
Jeff Jackson: Yes.
Rod Hershberger: Yes. This is one line in a facility as opposed to a brand new facility, a big difference for us.
Operator: There are no further questions at this time. I’d like to turn the call over to Mr. Brad West for any closing remarks.
Brad West: Thank you for joining us today. We look forward to speaking to you again next quarter. And if you have any further questions, please give me a call. Have a great day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect. Have a wonderful day.